Kazuyuki Masu: This is Masu speaking, CFO, Masu speaking. Thank you very much, despite busy schedule for attending the results meeting for the 3 months ended in June 2021. I would like to give you an overview. And after that, our General Manager of the Corporate Company Department, Yuzo Nouchi, will give you more detail. In terms of the fiscal year 2021 first quarter consolidated net income compared to the previous year, it has gone up by JPY 150.9 billion to JPY 187.6 billion. Against the outlook of JPY 380 billion, the progress ratio is 49%. Then please go to Page 1 of the presentation materials. In terms of the year-over-year fluctuation, I would like to first explain that. So please look at the box on the lower left-hand side. All of the -- excuse me, 8 groups have shown an increase of profit. We saw a decline in profit for the Power Solution Group and the Industrial Infrastructure group, but this is due to the timing of the asset sales and in terms of the litigation-related loss of Chiyoda. So these are special factors. Last year, we saw a plunge in the resource prices, and we saw a contraction of the demand for the automotive sector. And last year was when the COVID-19 hit us very hardly. But through the recovery of the economic activity worldwide, and we saw a demand of recovery in automotive-related business. And the resource prices has gone up in copper and iron ore. And we have been able to lead this -- the earnings in each of the businesses through this business environment recovery. In terms of the first quarter net income year-over-year, it has gone up by JPY 150.9 billion. So we have seen a substantial increase. Going into the outlook for -- of our performance. Please look at the box on the -- over right-hand side, the progress against the forecast. So in terms of the orange bar, this is the mineral resources segment. Due to the impact of the planned maintenance at the plant for the Australian metallurgical coal and in terms of increase of prices for the copper and iron ore and a plan in the first place, the profit should be constituted in the first quarter. And on top of that, we have one-off gains due to disposal of the aluminum smelting business. In terms of the progress, it is high, it was high, 82%.  On the green bar, which is a nonresource business, we have been able to tap into the global demand recovery and have been able to book an normalized gain for the funds. And we have been able to see increased opportunities in trading. So the progress has been over 40%. As a result, against the full year outlook, the progress ratio has been 49% and is at a high level. As you can see, this time results compared to last year, which was strongly impacted by COVID-19, we're seeing a substantial increase of profit. Although there is some concentration in where the profit is coming from in terms of the first quarter profit is the second highest following the 2018 first quarter, which was the highest in the history. We have been able to leverage the business environment improvement to a strong recovery of our earnings. For the full year, there is a high possibility that we'll be able to exceed our outlook that we have disclosed in May. However, there has been a resurgence of COVID in Southeast Asia, and we have to observe how the resource prices will trend, which is at a high level. But towards the second quarter, we will continue to observe the situation carefully and decide accordingly.  Towards the improvement of our performance in terms of the goal of the unprofitable business, the vision for Lengo asset portfolio, and we will go accumulate profits from our existing investments. We will go on implementing these initiatives one by one. So there has been the overall segment situation going to the overall segment situation. Again management, corporate accounting department General Manager, Mr. Nouchi will speak.
Yuzo Nouchi: So this is Nouchi speaking from the corporate accounting department General Manager, so I would like to add on to the just made presentation. I would now like to look at the Q1 segment results. So please refer to Page 2 of the material. I would like to start off with natural gas. JPY 7.2 billion last year, we increased by JPY 11.3 billion, landing at JPY 18.5 billion for the first quarter. This is because of LNG-related business earned dividends as well as North America shale gas business. Moving on to Industrial Materials. Iron ore business improved. Moving down to Mineral Resources. The dividend income increased copper business and earnings improved and the aluminum smelting business one-off gains gave us versus JPY 20 billion last year increased by JPY 45.9 billion, landing at JPY 65.9 billion for the first quarter. Moving on to the right side of the same material -- Last year, the Mitsubishi Motors one-off losses. We're acknowledged but because of this, Mitsubishi Motors as well as the Asian automotive business, we saw an increase in equity earnings and automotive mobility all in all. Last year was JPY 22.7 billion negative. We increased by JPY 50 billion, landing at JPY 27.3 billion positive for Q1. Moving on to food industry. JPY 6.5 billion last year, we increased by JPY 13.2 billion, amounting to JPY 19.7 billion for the first quarter. This was due to the improvement in equity earnings for our salmon farming business. And for consumer industry versus last year, we have been able to improve our equity earnings. I would now like to move on to Power Solution. From JPY 6.7 billion last year, we dropped by JPY 10 billion. So this is a JPY 3.3 billion minus. So disposal gains of power-generating assets have decreased as well as overseas power businesses dropped as well. Lastly, I would like to touch upon urban development. JPY 600 million was last year's number. We increased by JPY 21.1 billion, landing at JPY 21.7 billion for the first quarter. This is due to the valuation profits as well as the lease business integrated merged gains. Allow me to move on to Page 3. I would like to depict the situation of our cash flow. On the bar chart -- please refer to the first 3 months cash flow, the grade, which is operating cash flow is JPY 238.6 billion and the launch investment cash flow of JPY 79.3 billion cash out. So when we augment these numbers, the adjusted free cash flow is JPY 159.3 billion. Now the breakdown of investments, if you can refer to the orange box in the middle of the same side. Australian metallurgical coal business as well as copper business and LNG-related business. So investments in such projects as well as leasing business, equity investments, all in all, amounted to JPY 170 billion. For sales and collection, North American real estate business as well as the shale gas business in North America resulted in JPY 19.7 billion and net JPY 79.3 billion. On Page 4, on the 7th of May, when we announced our outlook, I am once again attaching the same market conditions as referenced. So this will conclude my explanation. Thank you. 
End of Q&A: